Operator: Good day, and thank you for standing by. Welcome to Lynas Rare Earths Half Year 2025 Results Briefing. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to [Audio Gap].
Jennifer Parker: Good morning, and welcome to the Lynas Rare Earths Investor Briefing for the half year ending 31 December 2024. Today's briefing will be presented by Amanda Lacaze, CEO and Managing Director; Chris Torrisi, Executive General Manager of Resource Development and Operations; and Alex Logan, GM of the Mount Weld expansion. Joining them will be Gaudenz Sturzenegger CFO; Pol Le Roux, COO; and Daniel Havas, VP, Strategy and Investor Relations. I will now hand over to Amanda. Please go ahead, Amanda.
Amanda Lacaze: I'll just go off mute. Good morning, everybody. Thank you for joining us again today. In addition to my two colleagues, Chris Torrisi and Alex Logan, we do have our senior leaders within the organization on the call, Pol Le Roux, our Chief Operating Officer; and Gaudenz Sturzenegger, our Chief Financial Officer, on who I will shamelessly rely for some of the more complex financial questions related to accounting. But in particular, I thought that it was a good idea to ask Chris and Alex to join us today as the Executive General Manager for Resource Development and the respectively, the General Manager for Mount Weld expansion. These 2 colleagues are accountable for delivering really significant changes at Mount Weld. And many of those have been delivered in the half year results that we're reflecting. These provide the foundation for our success today and well into the future. And I know that it is some time since many of you have had the chance to visit Mount Weld. It is a hive of activity, I can tell you that. And so I thought this was an excellent opportunity to provide some more detail on those initiatives by the individuals who've actually done the work. So as we move through the presentation today, and as always, we will acknowledge the traditional owners of the lands on which we live, work and meet across Australia, and particularly acknowledge and value our Aboriginal and Torres Strait Islander employees, and pay respect to their elders, past and present. So looking first at the half year snapshot. Our Lynas 2025 plan has always been about adding capacity, improving the efficiency of our operations, sustaining our position -- sorry, yes, sustaining our position as a low-cost producer and enhancing sustainability initiatives within the organization. And we have started to see some of those strategies deliver in the first half of 2025. In the first 6 months, we grew production, we grew our sales volume, and we grew our sales revenue versus the prior corresponding period. In the first 6 months of this financial year, we variously commissioned, operated and ramped up new capacity at each of our sites. And as always, significantly invested in safety as we extended our operations. And we have managed to record an improvement in our lost time injury-free rate and our total recordable injury-free rate. But we are particularly proud of the 1 million hours LTI free on the Mount Weld expansion project. And for those of you who have looked at the presentation, you will see the amount of work that has been done there is really significant, and the 1.2 million hours LTI-free in Lynas Malaysia. I know all of you watch the rare earths market closely. And so therefore, you know that prices have remained stubbornly lower over the past 6 months. As I think a few of the early analysts have identified, the result has largely been re-reported at production, sales and cash level. And so really, the only significant element, as we look at the financials, and we can move on to the next slide, Lauren, is really the bridge to the accounting results. And that is affected by the allocation of additional cost of goods sold to the increased sales. And that included the sale of some inventory at the end of the half, some small increase in cost of goods sales related to variable costs at Kalgoorlie, a write-down of some of our lanthanum and cerium inventory, and particularly effects -- foreign exchange effects with a significant weakening of the Australian dollar to both the U.S. dollar and the Malaysian ringgit over the reporting period. It is certainly understanding the bridge. I mean, I like most people, run my personal P&L and balance sheet on a cash basis, understanding all of the bridge from the cash basis to the accounting basis, can take a little bit of time, but Gaudenz is on the call to assist to answer questions on the call or separately, if that is helpful. During the period, we did also build some work-in-progress inventory, both at Mount Weld and with our Mixed Rare Earth Carbonate. And that's all part of ensuring that we are well positioned to be able to demonstrate the Lynas 2025 rates in the final quarter of this year. That will progressively work its way through the system. So NdPr production at 2,969 tonnes was up versus the prior corresponding period, including, as a result of improved processing of lanthanide concentrate in Malaysia, improvements in recovery rates, but also as a result of processing mixed rare earth carbonate from the Kalgoorlie facility. NdPr sales volume was up at 3,178 tonnes, and that is a combination of reflecting increased production and also increased inventory. The results show progressive production improvements across all sites, including enhanced operations in our Lynas Malaysia facility. As we head towards the end of the Lynas 2025 capital program, we had a capital expenditure of $267 million in the 6 months and finished with $308 million in cash and short-term deposits. Kalgoorlie is operating, and we are now shifting into a continuous improvement mode, focused on both continuing to enhance our flow sheet and reduce our costs. Stage 1 of Mount Weld has been tied into operations and is already delivering benefits. LAMP mixture of carbonate processing is operational. New solvent extraction capacity is already being operated. And we have new PF capacity and Dy/Tb separation expected to come into operation before the end of the financial year. So if we move on and just have a few comments on the market. I mean, everyone knows, the last 2 years have been very challenging. Demand has continued to grow but at lower rates than was forecast maybe, I think, particularly in FY '22. And there has been significant reductions in market prices. As people can see, the price was $7 less in December '24 versus December '23. We are seeing the first green shoots of an improved market. And people may ask why. And of course, there are complex influencers in the rare earths market. As I said, the market demand growth has been sustained, albeit some sectors are growing slightly slower than we had previously thought they would. However, I think most seasoned observers on this call would understand that the market is very heavily influenced by supply-side factors and particularly inside China. So China regulation really makes a difference to not just actual performance in the market, but also perceptions. And there can be a lot of activity in this market based upon people's perceptions and expectations, which is not always reflecting the real-time world. China has released in February 2025, just about a week or so ago, some new draft regulations for comment, which show further centralization of control and further consolidation of the industry in China. And that is the rare earths processing industry. And it will ultimately, if the regulations pass into law after the period of comment, will centralize control to the 2 big firms, Northern Rare Earths and China Rare Earths. And we would expect that smaller independent players will be absorbed, in time, into these 2 organizations. It does allow great control in China on production volume. And it does, for the first time, also take into scope via the mechanisms which are used any feedstock which is imported into China, which previously was not accommodated within the previous quota arrangements. So we do await the quotas, which we sort of expect within the next few weeks to see what the ultimate effect of the new regulation may be. However, I think everyone would have seen that the price has already improved by about $5 kilo for NdPr since the release of the draft regulations. And you don't need to be a mathematical genius to calculate what effect that would have had on our results for the 6 months to December 2024. The great control of feedstock, generally, we would believe favors Lynas as we are a proven separator with proven resources, and we remain the only non-Chinese producer who can bank the full value of any improvements in the oxide prices. One of the other things that I've just referenced here is that we are seeing continued consolidation in the magnet manufacturing area with those magnet makers who are operating at the top end of the market with sort of the highest tech materials growing share. We think that, that will drive growth over time. And then, of course, like many, we watch with interest the various geo -- global geopolitical moves. Once again, our point would be that Lynas is best placed to benefit from any of these because it is absolutely easier to get guaranteed supply from Lynas than developing a whole new industries or mining sectors in new countries. And that is really the real value of Lynas. We have the proven resource, and we have the proven capability. And our program with Lynas 2025, which has been focused on increasing our capacity to meet growing demand, improving our efficiency to ensure continued profitability and meeting community, government and indeed, our own benchmarks on sustainability, will see us in an excellent position as we see the market recover. So I now want to take about 10 minutes to give first, Chris, and then Alex the opportunity to take you through some of the initiatives that we've executed at Mount Weld and then would be very happy to take -- and then a little bit about Malaysia and Kalgoorlie, but then very happy to take questions from those who are on the call. So over to you, Chris.
Chris Torrisi: Thank you, Amanda. Our recent program of drilling and assessment at Mount Weld has delivered an ore reserve with more than a 20-year life of mine to supply feedstock at an expanded production rate of 12,000 tonnes per annum of NdPr oxide finished product. This outcome continues to confirm the exceptional geology of Mount Weld rare earths deposit has been the foundation of our business. Notably, the composition of the light rare earth elements and the heavy rare earth elements at Mount Weld has provided us with more options for mine planning over the life of mine. So moving to the next slide and drawing attention to some of the key numbers that we released on the 5th of August 2024 in our mineral resource and ore reserve update. Mineral resources are now at 106 million tonnes, and that includes both the weathered laterite near the surface and the fresh carbonatite below. Our program of drilling drilled to a depth of 200 meters below surface, intersecting both the weathered laterite and into the fresh carbonatite, and all holes ended in fresh carbonatite type. After assessing the modifying factors, our ore reserves now contain over 2 million tonnes of rare earth oxides. We added to our ore reserves and replaced depletion from ongoing operations over the past few years. And there's more. This includes 12,000 tonnes of contained dysprosium oxide as one of the heavy rare earth element metals in the ore reserve. And our release on the 5th of August 2024 lists the inventory of all the rare earth elements in the ore reserve. We now have 32 million tonnes of ore reserve, and that includes the existing tailings storage facility with an average grade of 7.3% total REO. And my colleague, Alex Logan, will discuss shortly the improved efficiency at Mount Weld that supports the reprocessing of tailings. The next slide shows the location of our drill holes relative to the open-cut mine. It was a cost-effective drilling program, immediately surrounding the open cut mine and also drilling below the open-cut mine. And pleasingly, we safely had both drilling and mining operations ongoing at the same time. The result of this improvement in our ore body knowledge is providing more options for our long-term mine planning. So let's focus on heavy rare earths in Mount Weld. Next slide, thank you. The drill program identified an expansive halo of heavy rare earths that is now within the life-of-mine pit shelf. So looking at the image on the right, you can see that is the red outline of our current life-of-mine pit shell. And it shows that we have heavy rare earths mineralization with the yellow shading -- darker yellow shading of up to 500 meters surrounding the open-cut mine and also below the open-cut mine. And once again, there's more. The ore reserve grade increased to 400 ppm dysprosium oxide and 100 ppm terbium oxide. This improved understanding of a heavy rare earth mineralization has also provided more options for our mine planning and introducing the fresh carbonatite as an inferred resource. The fresh carbonatite occurs below the current life-of-mine ore reserve as shown in the cross-section on the right. Whilst the grades in the fresh carbonatite are lower than the weathered ore reserve, we see that it is a less complex mineral system as it contains no geological weathering. And the team here at Mount Weld are assessing the fresh carbonatite with the scoping study. And with that, I'd like to pass on to Alex.
Alex Logan: Thanks, Chris. As you can see by the picture here, Mount Weld is looking a lot different today than it has over the last 10 years. We are well advanced on the Mount Weld expansion and tracking on budget. When we began the design of the Mount Weld expansion, there were 3 core objectives that guided the project's approach. The first one being increased capacity. The flow sheet is being designed and built for a step change increase in capacity, both in throughput and production output. The second has been designed to deliver a fourfold increase in mill throughput and the capacity to supply concentrate feedstock to support up to 12,000 tonnes of NdPr refined product. The second core objective is improved efficiency. The benefit of expanding a brownfields asset is that we've been able to apply 10 years of lessons learned into this new design. And that's a very rare opportunity, and one was sought to leverage at every point in the process. The expansion has incorporated new circuits that improved fine particle recovery, new circuits to process a wider range of ore types, and increased automation to ensure that we can optimize fixed costs despite a much larger plant. The third core objective is enhanced sustainability. The sustainability initiatives on this expansion have ranged from the hybrid power station, targeted tailings dams designs and a significant investment in water management. These initiatives, while good for the environment, are also good for business and improve the reliability of the critical inputs required to efficiently operate and expand at Mount Weld. In terms of capacity, you can see the pictures below of what we call Stage 1. This is the concentrate dewatering circuit. The concentrate dewatering circuit was the bottleneck of the existing operations. So we took a very deliberate strategy of constructing and commissioning this circuit first, tying it into the existing operation while the remainder of the plant was built. The circuit has been running for over 3 months now and is fully integrated into operation. It's enabled a capacity increase at Mount Weld, and the performance is exceeding the design basis, particularly with regards to moisture content of the concentrate product with moistures materially lower than what was produced from the existing circuit. The other benefit of building on a brownfield operation is that we've had the ability to stage, we're seeking to leverage this as it reduces our execution and ramp-up risk. Stage 1 circuit is proven, it's operational, so it's 1 less circuit that we need to focus on as we ramp up the remainder of the expansion. This photo here shows our crushing circuit. So this is part of Stage 2. And commissioning of this circuit has commenced. And once again, we've got the ability to commission this circuit in isolation, prove it up, iron out any bugs before the mills and the flotation circuit comes online. So this progressive commissioning is reducing our execution and ramp-up risk. We're not having to press a big green button on this project to run everything at once for the first time. So crushing at Mount Weld, historically, has been via a mobile crushing ticket. This is labor-intensive, and it's involved multiple rehandling points. This new circuit is fully automated and provides a direct path from ore being tipped into the crusher bin directly through to the mills. It's much more efficient and it's an example of how the expansion can drive cost efficiencies despite higher throughputs. The photos below show our new grinding circuit with construction at an advanced stage. This new grinding circuit will enable a fourfold increase in throughput capacity and the ability to process a wider range of ore types. The blue mill on the right is our regrind mill. Now this is a new addition to the flow sheet and reflects many years of laboratory and piloting test work to now being implemented in this circuit. This enables a very fine grind, which improves the liberation of fine particles and therefore, the recovery of those fine particles. The regrind mill opens up the possibility of tailings reprocessing, as Chris mentioned earlier, as these fine articles that were unable to be recovered on the existing circuit can now be unlocked. Next slide. Thanks. This is our new flotation circuit. It's incorporated over 10 years of operational lessons and lab development over the years. This circuit contains latest generation technology with high-shear cells for enhanced efficiency and particularly focused on efficiency in fine particle flotation. The circuit has a lot of flexibility built in for processing a range of ore types, including a dedicated appetite flotation circuit, which represents a significant part of our ore reserve. Water is very precious at Mount Weld. And as Chris talked about, our ore reserves, sometimes we think water is rarer than rare earths at Mount Weld. So we're very focused on managing that. It's critical to the process, and we've made a significant investment in this project in water management. We've built a high-efficiency bore water treatment plant, which is the photo on the left. That's designed to deliver 85% recovery. Construction is nearing completion on this circuit, and we are moving towards commissioning. We're also building a state-of-the-art recycle water treatment plant. That's designed to deliver over 90% recovery. This is a Gen 4 design that's been in development for well over 5 years before we commenced this project. We're also building additional tailings facilities and the design of these facilities has been undertaken to ensure we can support expanding our successful mud-farming initiatives, which have been recognized externally as best practice. And we've also designed the tailings facilities to ensure that the higher-grade tailings produced over the last 10 years are not sterilized and are available for future reprocessing. So the Mount Weld expansion, as you've seen, is a much larger facility, and it requires a modern power solution. Now with the increased power demand, it was clear that continuing to burn diesel for power generation was not acceptable from both an emissions perspective and a unit cost perspective. So we've assessed a range of technology mixes, and it was very clear that a gas-firmed renewable hybrid power station would provide the optimal balance of reliable power, lower unit costs and lower emissions intensity compared to a diesel- or gas-only alternative. So as a common theme on this project, construction has been staged and is sequenced to align with the ramp-up in power demand. Construction is on schedule. Commissioning of the gas generation -- generators is underway. The solar pad earthworks are nearing completion with Solar Online before the end of this calendar year. And the wind turbine earthworks, the photo on the top right, are also underway, and they will be online within the first half of next calendar year. Once complete, this power station will provide reliable power. And we expect it to deliver approximately 70% average renewable energy for Mount Weld. Thanks. I'll hand over to Amanda.
Amanda Lacaze: Okay. So just a couple more Thanks, Chris, and thanks, Alex. Everybody is very familiar with our investment in Kalgoorlie, the first plant of this kind in Australia. The capacity uplift is about meeting future demands. We have implemented a number of both efficiency. So you can see the rotainer here, which, currently, we have bagging and we actually have to export bags to Malaysia, where -- which then become waste, whereas here, we have rotainers, which operate within a closed system at Mount Weld. And of course, the sustainability ensuring that this plant has all of the elements which are going to support its operation into the future. The Kalgoorlie facility during this period was officially opened. As we look at it and as I mentioned earlier, we are now moving more into what we would call continuous improvement mode. That means continuing to enhance the flow sheet. The cracking and leaching part of this operation, clearly, we have long experience in cracking and leaching. The mixed rare earth carbonate production is actually a new process to the organization and ensuring that we optimize that flow sheet to give us the best outcome, highest recoveries is important. And of course, the other area where we are very focused in terms of continuous improvement is continuing to improve our cost position. There is a cost penalty to operating in Australia. Well, that's a bit of a surprise, isn't it? But we are working on -- in terms of the design, we worked on the opportunities to automate and improve efficiency, and we now have a team which is really focused on ensuring we start to bank some cost benefits for this operation. Lynas Malaysia and maybe next time around, we'll spend a bit more time with -- on Lynas Malaysia because there have been some very big changes in our Kuantan facility, yet some of those have been at relatively small cost. So you see on the photos here, we've got the Mixed Rare Earth Carbonate receival facility. And processing of that material is operational, and we are starting to see sort of, once again, as we continue to improve, we aim to improve the efficiency of those operations. On the right is our new rotary furnaces in product finishing. This is incredibly exciting. I mean it's a long time since we've put in a completely new equipment into this part of our facility. And I can't wait to see them in operation which will probably be sometime next quarter. And then as well as that, in Malaysia, we can see the work which has been done on the new Dy/Tb separation circuit. This may surprise some people, how far progressed this is. But others, of course, would say, well, of course, we'd expect that because we've said we should get some first product by the end of this financial year. And look at our beautiful solar array that we've got on our administration building and our car park in Malaysia. Of course, we continue to engage very actively with our local communities and we shared some of those events with you here. As you can see in Kalgoorlie, we have really the United Nations working there and sort of engaged with the community on a variety of events. So as we look at this, and reflecting on our presentation today, I know everybody understands that the ore body matters. I think that sometimes people underestimate the quality and longevity of the Mount Weld ore body, and it's useful to have Chris to be able to take us through some of those -- some of our understanding of the ore body. It also matters that we are able -- as Alex was able to show, that also when we look at what we've done in Lynas Malaysia, that we have some sunk investments which we are able to enhance by additional investment. And this sets us apart from many others who seek to participate in the rare earths market. But really most importantly, intellectual property and experience really matter. And when you look at these items, it is one of the reasons why China has been able to sustain its dominance for so long. They had to sunk investment, they're able to efficiently increase output and they have the experience and intellectual property. I asked Chris and Alex to join us today because I think that it is really valuable to see the amount of experience that we have within the organization. Alex has been with us for more than 10 years and has been a key part of driving many of the improvements of Mount Weld prior to taking on the role of running the major project. And Chris has been with us for over 5 years, first of all in Kuantan and then in Mount Weld. So this sets us apart as we think about being set up for the next major growth phase in the rare earths market. We are ready, and we are ready to be able to bank all of that upside as it comes through. So with that, I'm happy to take questions.
Operator: Thank you, Amanda. [Operator Instructions] Our first question comes from Austin Yun from Macquarie.
Austin Yun: Yes, good to hear that you've been closely following the policy update in China. Just to understand your production update and operational update at the Kalgoorlie. In the quarter, you mentioned there were some impurities in the form of sulfate and you're working on that. Any update on that? And also, looking at the presentation, you mentioned that the continuous operation started at the plant, keen to understand the current utilization rate and the trajectory of the utilization rate in the near term.
Amanda Lacaze: Thanks, Austin. So yes, the -- as I said in the presentation, there are 2 sort of major parts to what we do at Kalgoorlie, one is cracking and leaching. We have 10 years' experience with that. The second is the production of mixed rare earths carbonate, and there are some new processes associated with that. And also just sort of the normal process of bringing the plant online and continuously enhancing that. So in the first set of -- the first production, we had various different impurities. It's exactly as we would expect. It took us a bit longer to get to a stage where we were able to produce within a target range when we first started up the Kuantan facility a decade ago. We've got most of those in order now, but we are implementing some further changes and enhancements to the flow sheet, which we will do over the next couple of months, which we think will significantly improve sort of sulfate and particle size sort of our 2 big targets at this stage. In terms of capacity utilization, our objective is to ensure that we are able to meet our Lynas 2025 target by the end of FY 2025, 10,500 tonnes a year, which is, give or take, 900 tonnes a month. So we need about 1/3 of that to come from Kalgoorlie feedstock and about 2/3 of it will come from the lanthanide concentrate, which is processed in Malaysia.
Austin Yun : So just to confirm, I think you mentioned that. So you still expect to achieve the 10,500 tonne run rate roughly running for like a month or 2 towards the end of this financial year as part of the original plan? This is unchanged?
Amanda Lacaze: Every single person in Lynas is focused on delivering that.
Operator: Just a moment for our next question, please. Next, we have Chen Jiang from Bank of America.
Chen Jiang: I'm wondering if you can help me to understand your underlying unit cost of production, either on ROE or NdPr basis? Based on the difference between your revenue and underlying EBITDA, I have unit cost of production at around USD 47 per kilogram of NdPr, which is substantially higher than what you reported in the second half of FY '24. But I noticed you also have other expenses such as foreign exchange loss, $70 million, $5 million inventory write-down as well as your technical challenges processing the higher impurity Kalgoorlie-based stock from LAMP, et cetera, et cetera. So altogether, I'm wondering what kind of costs are one-off from this half and what is recurring going forward? And also, how should I think about your underlying costs in the next 12 months given you have done a lot of work to improve the efficiency?
Amanda Lacaze: Thanks, Chen. It's really a useful question. And you are right. I mean, the result is significantly affected by foreign exchange effects. So I think that is probably more helpful to rather than look at the EBITDA number because there are some of those changes to actually look at the margin. And you will see with that, if you just do the simple and we put this into the financial report, if you just did the simple calc on sort of the revenue divided by the number of NdPr tonnes, you can see that there's been a small increase in the costs on a per kilo basis. But why don't I invite Gaudenz to either add to that or happy to set up a separate meeting as well. But Gaudenz, I'll invite you to add to my comments.
Gaudenz Sturzenegger: Just a quick one, more high level to make sure people can read the data properly. And I refer to the financial statement, particularly Page 19 and 20 I think as Chen indicated, I think we have in there about $16 million, $17 million exchange rate adjustment. And what's important here, I want to point out, this is not on transactions. So this is not transaction exchange. This is purely profit and loss translation exchange, and basically changes every day based on the exchange rates. And particularly on Page 19. What's very interesting, if you move down to the more comprehensive view, at the same time, you have the $16 million kind of translation on the profit and loss. We have a $93 million positive adjustment on the balance sheet. So -- and particularly, if you look at the Page 20, you'll see that the -- through the same effect, basically, we increased the equity position by $100 million. And that's very simple, obviously, particularly the Malaysian ringgit has improved quite significantly against the Australian dollar. So all our assets we have in Malaysia in -- expressed in Australian dollar have increased a lot. So I think that's important to understand. So the FX is not related to transaction. It's really purely translation. And again, as the FX changes every day, this value will change every day. And we'll see at the end of the year what that will give. On the -- as you indicated, the -- we have -- I wouldn't say a write-down, I would rather call it kind of a provision on the Ce and the La product. And there, if -- as we see kind of a price moves on the NdPr, we might also see certain price moves on LaCe, which would kind of neutralize that provision. So that's not realized. It's purely a provision at this point in time based on December, but there's some rise in the prices, and it might not come through reverse completely. On the -- what's also quite important on the financial side to understand, it's kind of a transitional period. And their reference is made to the inventory. I think that's quite interesting. Obviously, we, as expected, we are building up the inventory pipeline. So a lot of more work-in-progress material. And here, you have obviously the material which is shifted from Karl to the LAMP. So that's coming in. So in total, that's the $35 million increase in debt costs. At the same time, you also have raw material and consumable increase coming through from the particularly Kalgoorlie site as we are building it up, obviously. And at the same time, we did sell more in the period than we produced. So the finished goods are decreasing by about $13 million to $14 million. So net, we have inventory move of $27 million. I think that's to be expected. I think that's probably more a onetime thing. It can move a little bit into the next quarter as well as we fully fill up the pipeline between Karl and the LAMP. And yes, on the cost, I think, underlying, I don't think on the per-unit cost, you see -- you always have this relationship of NdPr to other products. I think, there we continue with our improvement projects. And I think from that perspective, we did deliver. At the same time, you obviously have the Karl cost coming in at the initial stage, but before jumping too much on the interpretation of this one, I think you -- we should really see kind of a full period where you have the new set up being effective. I think that's my initial comment. I hope that helps. And yes, happy to have one-on-ones on the analytical accounting.
Chen Jiang: Yes. Sure. Thank you. Thanks. I might take -- yes, I might take this offline, so give time to other analysts to ask questions.
Amanda Lacaze: I think that I'm just sort of the poor dumb CEO , I don't have quite the same appreciation as Gaudenz. But I would highlight again that we are one of a very few, with the only others being Chinese firms -- rare earths firms that are able to book a profit on both the cash and on an accounting basis, even when the prices have been as low as they have been in the last 6 months.
Operator: Next question comes from Jonathon Sharp of CLSA.
Jonathon Sharp: Yes. So my one question is there's a lot of geopolitical noise at the moment. Would love to hear your views and your thoughts on Ukraine rare earth deposits or potential supply from this region. There's a lot of anecdotal comments about this one being that it's high in the sky and uneconomical, but would love to hear your views or thoughts.
Amanda Lacaze: Jonathan, in the time that I've been involved in rare earths, I've heard about a rare earths race to the moon because there could be lots of mining on the moon to get rare earths. I've heard about sort of a rare earths race to the sea floor because there's lots of rare earths on the sea floor, which could be useful in the future. I heard about rare earths race to Afghanistan at one stage. So there is always a lot of discussion on these matters. And I remember watching a television show with my husband and they were talking about accessing lanthanide and how expensive it was. And I'm like, well, I've got 100 tonnes in the warehouse if you'd like to come and buy some from me. So our view on this is that and I think that everybody who assesses this industry would know how long it takes from having the sort of thought bubble of wouldn't it be great to have some rare earths sourced from x, wherever x may be, and actually having some separated products sitting in a big bag waiting for a customer to buy it. And so our view would be very simple. The best way to get guaranteed supply in the West is to buy product from Lynas because we have it. We have the skills, we have the resource in the ground at Mount Weld, and we have the skills to process that resource cost efficiently. So we don't get too tied up with some of the sort of speculation about various different sources of rare earths. I mean we really just focus on making sure that what we do is best that we can.
Operator: Our next question comes from Al Harvey from JPMorgan.
Al Harvey: I'd love hopefully I can squeeze 2 in, if I'm lucky, but I figure out it's only one. Given we've got Chris and Alex on the line, I might focus on an ops question. I just wanted to get a sense on the heavy distribution at Mount Weld on Slide 10. There's a lot of the dysprosium falling in the 2024 long pit. So I just wanted to get an understanding of how much of that in the near surface whether at ore zone and how much might be in the deeper appetite zone. And I suppose basically how terbium is associated with dysprosium?
Chris Torrisi: Al, so we see the -- on the chart, we see the contours of 300 ppm dysprosium oxide as one of the heavy rare earth metals. And the darker yellow, you can see is at 500 PPM dysprosium oxide. The ratio of dysprosium and terbium, we see across the ore reserves, so this is all contained within the life of mine, is fairly consistent. In terms of depth, it's all within the weathered saprolite zone. Now our life-of-mine pit is no more than about 80 meters below surface. So what you see presented in that slide is a life-of-mine pit shell no more than 80 meters below the surface.
Al Harvey: Great. And I suppose just in that context, you've got the scoping study on the fresh carbonatite underway. That's a fair bit deeper from my understanding. So I guess, given you've already got 20 years of mine life at the expanded production rate on your base case, just wondering how we could be thinking about the carbonatite as a potential justification for further output expanding? Or is it really just looking at further extending life beyond that 20 years, which I suppose is more than enough on people's DCF .
Amanda Lacaze: So I think that there are 2 elements. I'll let Chris comment as well, but because he is particularly passionate about carbonatite. And -- but the first is that we deplete the resource, and we certainly want to sustain and have always had an objective to sustain a plus 20-year mine life. The lifeblood of mine is to continue to explore and to understand what's available. And it's interesting, Al, that you picked out this thing on the heavies because comparatively to other deposits, you will see that this is really a significant heavy rare earths deposit. But the rest that is interesting about the carbonatite is that whilst it is at lower grades, it does appear to lend itself to more efficient processing. And so we see that we derive cost competitiveness by a variety of different means. Certainly, the grade and the simplicity of mining at Mount Weld is a critical part of our cost advantage, but continuously looking for new opportunities to improve the cost effectiveness of our processing is certainly part of this. It does not feed into currently a plan to further increase capacity. Did I get that good enough for you, Chris?
Al Harvey : Am I able to jump in with another one?
Amanda Lacaze: Sure, because we like that question because we love the Mount Weld ore body.
Al Harvey : Not -- no, no, it's a great ore body. I 100% agree. I suppose just -- maybe just following -- one final follow-up, Amanda. I mean, you mentioned that the lower grade in the fresh carbonatite, but you get more efficient processing. I guess just wanted to understand if any work has been done, I guess, because it is deeper and fresh rock will be obviously harder, is there any offset, I suppose, around the mining side? Or when you say more efficient processing, you kind of just mean overall, it could be cheaper tonnes?
Amanda Lacaze: I will let Chris take that question.
Chris Torrisi: So Al, I think, the thing to focus on. This is an inferred mineral resource, and we are working towards a scoping study A lot of these more technical questions would arise in the subsequent studies as you progress through to understanding the modifying factors, including some of the more technical aspects of the ore. So our focus right now with the inferred mineral resource is to understand in an assessment of our scoping study.
Amanda Lacaze: And I would add to that and say our -- in terms of mining, one of the magical parts about the carbonatite is that we don't have any overburden removal as part of our costs associated with that. So definitely preferable. And then in terms of the processing, the metallurgical team has done some initial work in that area, which is highly prospective for simpler and lower-cost processing.
Al Harvey : No worries, really appreciate the technical side of things there.
Amanda Lacaze: Thanks, Al. Are we done?
Operator: A few more, Amanda. Next question comes from Shannon Sinha from Morgan Stanley.
Shannon Sinha: Maybe if I just ask on the U.S. Seadrift facility. So I didn't see any update in the preso, but just maybe any movement there around the pathway for wastewater management and I guess, how that's impacting time lines?
Amanda Lacaze: Sure. Thanks, Shannon. We have identified a pathway, which would see us not incur some of the sort of challenges that we've seen with some of the permitting previously. It does require some additional capability for the facility to be able to do that, including sort of mechanisms that would see us recycle more of our chemical and chemicals and water and also a zero discharge site. We're highly engaged with sort of the team at the DoD. But I do think everybody understands right now, Washington is a bit challenging just right now, but we're working through that process. But we have a design, we have the engineering, and we have a path forward.
Operator: Next, we have Chris Bulgin from Goldman Sachs.
Paul Young: It's actually Paul Young here. I hope you will -- just a question on the heavy circuit and just sales of heavy earth. I mean, first of all, good to see the heavy circuits taking shape and construction looks like it's going well and et cetera. A question around the offtake on the heavies and how we should think about where that material goes and also the pricing. And just on the customer base, I know you've outlined again in your accounts that you need to prioritize Japanese customers for heavies to the extent possible under any agreement with the U.S. So how do we think about where the heavies go? And then also on reference pricing, is it going to reference the Asian metals Tb/Dy? Or can we actually in this instance, I know there's a lot of discussion on NdPr ex China pricing, but can we actually break away from Asia metals for the heavy offtake?
Amanda Lacaze: Paul, I think that, yes, there is a lot of discussion about ex China pricing, and most of it is easy on a spreadsheet and difficult in reality. So we have real product and real customers. The issue around the Dy/Tb, however, is that there is a lot more scarcity of Dy/Tb as we all know, particularly outside China, and we will be the only source of separated Dy and Tb outside of China. It also has more uses than NdPr, which is primarily used in only very small quantities are used outside of the magnet sector. And so for Dy/Tb, that gives us additional opportunities as well. So for example, there are sort of different sectors where we will have the opportunity to actually improve the quality of the material. So we have the opportunity to leverage what will be a relatively small amount of Dy/Tb in its first instance to give us improved pricing on the Dy/Tb and potentially on other products in the range as well. So with respect to the agreement with JARE on product being available for the Japanese market, it certainly doesn't demand the product is available for the magnet market. And in the electronics sector, there is significant demand for higher quality Dy, and that is in Japan. And you should also remember that always the condition on the availability to Japan is that it is at no commercial disadvantage to Lynas. So it will always be at the highest price. Of course, the other thing is that in the U.S., the Department of Defense act DFARS, which prohibits the use of material and defense applications which has been sourced from China comes into effect in 2027. There is a requirement for heavies in that sector. And if they're going to meet the 2027 target, it will be on materials, which are actually being manufactured over the next 12 to 18 months. So there are significant opportunities for us to improve pricing even with the relatively small initial sort of amount of Dy/Tb that we will get out of the circuit in Malaysia.
Paul Young : I know there's been a few follow-up questions. So can I just add one that around some recent developments on the magnet side -- magnet industry. I know you actually put a comment in your presentation that's changing very quickly. And we've seen a couple of -- well, actually 3 prepayments that have been done in the U.S. with U.S. OEMs with another company. And that tells me that the magnet industry, ex China or Japan, is starting to actually move quickly, so it supports your comments. Is there anything there that actually -- that we can read into that actually positive impact to you? Or is that just a positive sign that the ex China market is actually changing quickly?
Amanda Lacaze: Yes. Look, I think the situation with the OEM and those prepayments in the U.S., still a relatively small volume of material. But, yes, it is -- and I guess for that particular OEM, it's bit of an insurance payment. It's still a relatively smaller amount of their overall consumption. We've always sort of spoken to the importance of the outside-China processing market for our business and for anyone else, frankly, who aspires to be in the rare earths industry because, at present, as I look at sort of many of the projects that the product is going out ultimately, unless we get more outside China, it's going to have to be sold into China for further processing. So therefore, it doesn't actually enhance the resilience on the Chinese supply chains. So we are seeing many magnet projects. I think the biggest challenge is going to be magnet makers outside of China. I know this is one of Pol's sort of -- he sees this as being a big challenge is magnet makers outside of China actually having the technology to produce the high-performance magnets that will be required by the market going forward. Pol, did you want to add anything to that.
Pol Le Roux: I have nothing to add, Amanda, sorry.
Amanda Lacaze: Okay. Thanks. Okay. Sorry.
Operator: Our next question comes from the line of Daniel Morgan from Barrenjoey.
Daniel Morgan: Amanda, I know that you said you would look to demonstrate the capacity of 10,500 tonnes by the end of '25, but obviously, the sustainability of running at that depends on the market demand for products. You referred to green shoots, some optimism towards the market. But basically, is what you see in markets enough for you to want to run your system at full capacity? Or might you dial it back until you see better signs?
Amanda Lacaze: It is such a difficult question, isn't it, because the -- it really does end up just being a purely financial question. We never have a problem placing our material, whether we're placing it with magnet makers outside China or indeed inside China or via agreements with OEMs and other magnet buyers, and we have a number of those as well. It comes down to will it be at the sort of price that we're happy to bank at that particular time. We think that the price where it's been for much of the first half of this financial year and indeed up until sort of a couple of weeks ago is below a sustaining price, both for Chinese producers and also for non-China producers other than Lynas. I note that, once again, we have banked a profit outcome where others have banked a loss. And so for us, we are cautiously optimistic that some of the price momentum at present will remain for a while. And if it does, for us, even if it's sitting where it is now or another $5 to $10 a kilo above then, it definitely is to our benefit to run our system as efficiently as possible, and part of that is driving volume through the system. So the answer is it might change if the prices rise.
Operator: Next question comes from Dim Ariyasinghe from UBS.
Dim Ariyasinghe: Just a quick one for me. Maybe you could help me. I noticed that Lynas, you guys have started reporting NdPr cells for the half. Like can you just confirm you don't typically break up NdPr cells, you break out NdPr production? And if that's correct, maybe rationale for that? I noticed that NdPr sales is running ahead of production for the half. Does that read-through for the next half or the market, if you could help with that, please?
Amanda Lacaze: Well, Dim, we thought that you would be particularly interested in trying to -- we know that analysts are particularly interested in trying to calculate a unit cost per kilo of NdPr, and that this was a helpful piece of information to provide. And that's the start finish of why we put it in there. We thought it was useful information for analysts and investors.
Dim Ariyasinghe : Yes. And in terms of just selling more, like is that just being ahead of the market, is that just more because you were down on December production or, yes...
Amanda Lacaze: Well, yes, December production wasn't where we wanted it to be. And so therefore, being able to draw down a little of that inventory was helpful. We still hold more inventory than we did in the days when we finished every quarter with 0 -- exactly 0 tonnes of NdPr in the warehouse. So we do carry some inventory these days. But we still produced more versus the prior corresponding period, reflecting the additional capacity that we've brought online over the past year.
Operator: Thank you for all the questions. This concludes our Q&A session. I will now hand back to Amanda for closing remarks. Amanda?
Amanda Lacaze: Well, once again, thank you all for joining us. We would prefer that the financial result had a few more 0s on it, but we continue to work on the initiatives that will allow us to deliver some more 0s as we move forward. And as I said, we think that the market is showing a few positive signs, and we continue to be the best-positioned rare earths firm to be able to take advantage of those. So thank you, and I look forward to seeing some of you over the next couple of weeks.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.